Operator: Good day ladies and gentlemen and welcome to the Q2 2017 Avangrid Incorporated Earnings Conference Call. [Operator Instructions] I would now like to disperse today's conference call, Ms. Patricia Cosgel. You may begin ma'am.
Patricia Cosgel: Thank you, Kevin and good morning to everyone. Thank you for joining us to discuss Avangrid's second quarter 2017 earnings results. Presenting on the call today are Jim Torgerson, our Chief Executive Officer and Rich Nicholas, our Chief Financial Officer. A team of Avangrid officers will also be participating on the call to answer your questions. If you do not have a copy of our press release or presentation for today's call, they're available on our website at www.avangrid.com. During today's call, we will make various forward-looking statements within the meaning of the Safe Harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995, based on current expectations and assumptions, which are subject to risks and uncertainties. Actual results could differ materially from our forward-looking statements, if any of our key assumptions are incorrect or because of other factors discussed in Avangrid's earnings news release, in the comments made during this conference call in the Risk Factors section of the accompanying presentations or in our latest reports and filings with the Securities and Exchange Commission, each of which can be found on our website avangrid.com. We do not undertake any duty to update any forward-looking statements. Today's presentations also include references to non-GAAP financial measures. You should refer to the information contained in the slides accompanying today's presentation for definitional informational and reconciliations of non-GAAP financial measures to the closest GAAP financial measures. With that said, I will turn the call over to Jim Torgerson.
Jim Torgerson: Thanks Patricia. Let me first introduce some of the team, beside Rich Nicholas the CFO, and our Investor Relations team, we have Bob Kump who heads up our Networks Business and Laura Beane who heads up our Renewable Business. Let me start merely going to Page 5 since Patricia gave all the headlines on the first four pages. We really had an excellent quarter and year-to-date as we demonstrate our consistency in earnings from our regulated business but also increasingly contracted renewable business. For the second quarter of 2017, net income was $120 million or $0.39 a share which was up 17% from 2016 second quarter. Year-to-date net income was $359 million or $1.16 a share which was up 14%. Now on an adjusted basis and keep in mind that adjusted - adjusted for the impact of the exclusion of the Gas Storage business, mark-to-market earnings or losses and the gain our impairment of some investments that happened either - mainly in 2016. But our adjusted quarterly net income was $143 million or $0.46 a share which was up 21% and year-to-date $369 million in net income which was a $1.19 a share which is up 15%. We're executing strongly on our strategic planning really including also implementing the beginning of our Forward 2020 program which was focused on getting efficiencies in our businesses and we're just starting moving into that direction now, so we have the plans laid out and that's moving along. We executed 401 megawatts of new wind PPAs year-to-date including 200 megawatts in the second quarter. We also have reduced our merchant exposure. We have signed fixed price contracts year-to-date for 589 megawatts moving those out of the merchant category into a fixed price contract. We've also executed 122 megawatts for repowering PPAs and those are commitments year-to-date really repowering commitment, I would have to say there is a combination. And that was above the plan our long-term plan had contemplated 50 megawatts. And we are also on track for our 2017 investments. We've spent $956 million so far this year in the capital which is up 47% from 2016. We've implemented rate cases in New York in the Connecticut Electric Distribution case. We also have filed a rate case for Southern Canadian Gas which we'll get into that a little bit about what the parameters there are. Also in the first half of this year we have some opportunities in offshore when we announced the 50% partnership in Vineyard Wind with Copenhagen Infrastructure Partners. And we also acquired the offshore lease for Kitty Hawk in North Carolina, again we'll talk about that a little bit. Third quarter dividend has been declared by the Board on July 16 payroll October 2 against the $43.2 a share and also our total shareholder return as of yesterday was up over 18% year-to-date. Moving to Page 6, you can see that the earnings as I just mentioned up 17% for the quarter and 14% for the year really were the result of - improved results in Networks primarily due to the implementation of new rate plans and cost mitigation as I said we started our Forward 2020 programs. Higher renewable production it was actually up 4% year-to-date. That's really due to the new capacity from the Amazon Wind Farm East, which was 208 megawatts which was started up at the beginning of this year. And then wind production of our existing facility still seems to be running below average. In the West it was down over 2016. Midwest and Northeast were flat to slightly down. Texas was ahead in the Southeast was actually up somewhat. So we have a mix across the Board as to how the wind is performing for us. On Page 7 we generated the adjusted earnings and I mentioned already what these adjustments were. Year-to-date '17 adjusted net income and adjusted earnings per share reflect that exclusion of the gas storage and result in the renewables mark-to-market. But you can see we're up considerably 21% for the quarter and 15% year-to-date. And Rich will get into the details on how that was accomplished. On Page 8 we have the capital expenditures is on track up 47%. 88% of the increase was in the renewable business as we're spending money on the wind farms that will come online later this year. We have 600 megawatts under construction right this moment. We are on target with our network investments of $1.3 billion and for renewables of $0.8 million, so we will be spending the $2.1 billion we had laid out in our original forecast in 2017. Moving to Page 9, renewables. Long-term plan we had said we were going to add 1800 megawatts of new wind and solar with PPAs in the four year time horizon up to 2020. We've already secured 1000 megawatts of that or 55% and construction is in process on 600 megawatts with commercial operations dates of 2017. Wind is 534 megawatts, a 140 megawatts have already been installed and 36 megawatts commission at our El Cabo site in New Mexico and that was as of the end of June. We also have 66 megawatts of solar under construction. 10 megawatts are actually going to slide over to 2018 before they're finished but the vast majority of our 600 megawatts will be online by the end of this year. So we'll have - as of the end of June we had total installed capacity of 6046 megawatts on which 349 megawatts of those were new. And you remember we have a 2000 megawatt safe harbor which we had for PTCs at the end of 2016 and our new PPAs for 401 megawatts which we've signed already this year. We have a new wind project in Texas with 200 megawatts which being sold under a PPA to Austin Energy, which was the city of Austin's Energy procurement arm and in the Montech project of 201 megawatts with Apple Energy LLC in Oregon. So now we have as I said a 1000 megawatt already secured of the 1800 in our long-term plan. Repowering is also underway. We had a 372 megawatts in safe harbor with 50 in our long-term plan. While 22 megawatts from our Mountain View number 3 site in California is in process, and that's a full repower retrofit targeted for 2019 Vestas turbans. But we also executed a PPA for an additional 100 megawatts of repowering in the Midwest. So balance was recently done. Moving to Page 10, we've also been focusing on reducing our merchant exposure and mitigating the merchant facility. For year-to-date we've executed 589 megawatts of contracts to reduce our merchant capacity and we're really committed to keeping on track and adding even more as we see opportunities. 439 megawatts contracts were added reducing the merchant exposure wherein three of our wind farms 80 megawatts at Barton and Barton II Wind site in Iowa and that went to Dairyland. Then we had two contracts with Uniper, 149 megawatts in Elm Creek in Minnesota and 210 megawatts to Buffalo Ridge II in South Dakota. And we also be replacing a PPA that expires in 2019 of 150 megawatts at Shiloh in California. So we've made great progress in reducing our merchant exposure and our team is doing a great job and we'll continue. But we've reduced the merchant capacity or will by the end of this year down to 27% merchant and our target has been to be 75% to 85% of PPA plus hedges that we have on merchant capacity. So by adding the long-term hedges we will actually be over 80% that is fixed now with long-term hedges or PPAs or contracts. Moving to Page 11, the pipeline, we've actually increased our pipeline by 600 megawatts up to 7.1 gigawatts in total. And you can see on the map the 2500 megawatts that we believe by the near-term most likely possibilities and the areas they are in and the West we have 470 megawatts of wind and 345 megawatts of solar, Texas is 800 of wind and 100 of solar and then solely wind in the Midcontinent of 350 in the Northeast to 470. So right now we have over 6 gigawatts of installed capacity of renewable. Moving to Page 12, looking at our offshore strategy. Keep in mind the U.S. Department of Energy has been forecasting 86 gigawatts of Offshore Wind would be operational by 2050. Don't know if that's going to be the right number or not but we see opportunities with Offshore Wind and it's a growth opportunity for us in the longer term. So offshore our pipeline has a 50% ownership in Vineyard Wind, that's a joint venture with Copenhagen Infrastructure Partners on 167,000 acres lease, which is about 15 miles South of Martha's Vineyard. We believe we have - at least a 2 gigawatt capacity there, at least that is what the National Renewable Energy Lab estimate is. And then the development team we have a significant experience from Avangrid Renewables, Iberdrola Group and CIP. Keep in mind that CIP is the people that had formed DONG Energy originally and now have gone on their own and have significant investments already and great expertise along with our team which from Iberdrola as 1.3 gigawatts of Offshore Wind operating are under construction right now. We also have 100% ownership of the 122,000 acre lease which is 24 miles off the coast of Kitty Hawk, North Carolina. Project timelines for both of these are beyond 2020 and Kitty Hawk is estimated at 1.5 gigawatts right now. Long-term plan on Page 13 for Networks is really on track. Rate base will reach 11 billion by 2020 and our average capital spending for Networks is 1.4 billion. 91% of the capital expenditures are what we'd call secured and they are in different categories. We have transmission distribution upgrades and replacements for safety, reliability and to support generation retirement in the region. One good example is the Rochester area reliability which is going to be operational by 2020. That's a $200 million project. NYSEG just completed their Auburn Transmission project that was energized recently, a $105 million project in partnership with National Grid. Our piece of that was 105 million. And we're expanding a substations to address system reliability and eliminate some limitations in the NYSEG area and then also eliminate the need for a reliability support agreement with Cayuga Generating Facility. Gas pipeline replacement and expansion, we'll be spending $286 million in New York and $290 million in Connecticut just on pipeline replacement for aging infrastructure which is the cast-iron bare steel pipe in those areas. For expansion in our 2020 forecast, we're looking at spending about $179 million on expanding our system. And then LNG enhancements will spend another $85 million enhancing that area. Customer service automation for innovative flexible pricing, we're spending $52 million at Central Maine Power on implementing new software to help us with that. And then we also have in New York what we consider in the highly likely category advanced metering infrastructure and our DSIP plan which should commence in 2018. We're working with the commission right now on selling that and we should get an answer so that we can start moving forward in 2018 but basically it is on track. Moving to Page 14 on Networks update. NYSEG & RG&E, I'm really happy to recognize them for having been designated as the most trusted brands among utilities in the East region. We're ranked number one and two and this is in a cogent report study by market strategies international. We have new state commissioners in New York. John Rhodes is now the Chair for Wilcox the IBEW was named and he is been confirmed as is Jim Alesi, a former State Senator. And so we have collaborative work earnings, adjustment mechanism, negotiations, those are ongoing. That should be able to be implemented in 2018. Southern Connecticut Gas filed a three year rate plan in June 30, for rates that were going to effect on 1/1/2018. The request was for cumulative revenue increase of 19 million and ROE of 9.95 and 52% equity. Average rate base increases goes from $544 million at the end of December of 2017 to $634 million by the end of 2020. And we also are requesting the distribution integrity management program which would be a 20 year replacement cycle and the cost recovery mechanism which we will recover costs annually on that basis. Once a year we get to put in what the cost were and then recover in rates, so it's a quick turnaround. We don't have a regulatory lag and that is exactly the same as we have for Connecticut Natural Gas today and also revenue decoupling which is actually required in legislation in Connecticut. Moving to the FERC, we have - as most of you are aware the four complaints, we have the ROE complaint number one, which the New England TOs filed to begin billing at the prior 11.14% ROE. That is the most recent rate that actually in effect. That's legally in effect at this point but we requested - begin billing that again 60 days after the FERC has a quorum with retroactive billing to June 8 of this year, if really no FERC decision is reached, we'll start doing that. ROE Complaint IV Commissioner acting Chair, LaFleur denied a request to stop the - while actually to stay the proceeding and directing that it did continue on and an initial decision would be in March of 2018. So the request was denied by the Chair. And we have a pending quorum, Rob Powelson, Neil Chatterjee as there are awaiting Senate approval. The president intends to nominate Rich Glick who is actually a former VP of Government Affairs for Avangrid. And he left little over a year ago to go work with Maria Cantwell in the Democratic General Counsel for the Senate Energy Committee. And then Kevin McIntyre would be nominated as Chair. And I also want to note that All Avangrid electric utilities across the Board improve their scores in the J.D. Power 2017 Electric Utility ranking for Residential Customer Satisfaction. CMP and RG&E ranked to the top quartile in their respective categories. Moving on to Page 15 with the Massachusetts RFPs. Section 83D, this is the one request in Clean Energy and looking at getting 9.45 terawatt hours annually of renewable. And Avangrid does plan to bid multiple transmission and/or renewables solutions in this. When we look at the eligible bid categories, they're looking for incremental hydro on a firm basis but also new Class 1 renewable portfolio standard which would be wind and solar. A combination of both could include transmission projects under a FERC tariff and the RFP was issued in the end of March. Proposals we'll do next week and the selection of project would be at the end of January in 2018 in then submit contracts to DPU in Massachusetts by later in April of next year. We also have the Offshore Wind projects and this is the request of the RFP for Massachusetts looking for up to 1600 megawatts of Offshore Wind. Our partnership is intending to bid into that. Now the first solicitation is it can be 200 megawatts to 800 megawatts. Really the target is 400 megawatts. People can bid 200 up to 800, but they have to demonstrate that the benefits would be to the consumers in Massachusetts and those would all be under long-term contracts just as the Clean Energy RFP, this would also be a 15 to 20 year contracts. And the eligible bid categories include Offshore Wind with - really you'll look at project specific generator lead line proposal and also they have asked to have the proposals for an expendable transmission proposal under our FERC tariff so that you could have 1600 megawatts under a transmission line that could aggregate whatever generation is being put forth in - that is accepted from perhaps different leased holes. That RFP went out the end of June but proposals are due December 20 of this year and selection be in the latter part of April with contracts submitted by the end of July 2018. So let me highlight a couple of things, one we're executing and delivering on our commitment to deliver the 8% compound annual growth rates for 2020. We had strong earnings performance in the second quarter and the first half of 2017. We are affirming our 2017 adjusted earnings per share outlook of 2.10 to 2.35 per share. We're really executing on our opportunities in the core business as we have new and existing wind projects. We're increasing our contracted capacity and our 2017 investments in both renewables and in Networks are in line with our expectations. We have the three year rate plans and FERC formula rates will really give us 80% rate certainty for our regulated businesses. And we're implementing best practice through our Forward 2020 program. And we have the potential for additional growth beyond our long-term plan with the Massachusetts Clean Energy RFP, and the Offshore Wind RFP and New York Transmission solicitations that we believe that are happening. So we have quite a few projects going on right now that have great potential beyond what is even in our forecast today through 2020. And finally we also have - the Board has committed that they don't still have to make the decision but their intention is to raise the dividend starting in 2018. So with that, I’m going to turn over to Rich Nicholas to go over the financial results.
Rich Nicholas: Thank you, Jim. Good morning, everyone. Thanks for joining us today. Turning now to Slides 18 and 19, focus a little bit on our year-to-date results. As Jim mentioned our consolidated year-to-date net income is up 14% on a GAAP basis to $359 million and on an adjusted basis is up 15% to $369 million. The adjustments in 2017 to the year-to-date amounts that reflect the removal of $0.01 a share for the mark-to-market impacts in renewable segment and a $0.05 per share loss in gas storage and with rounding of those adjustments that results in a net positive adjustment of $0.03 a share to go from GAAP to the adjusted basis. For the comparable period in 2016, the year-to-date reflects the removal of $0.06 a share of a gain that we had on our sale of our equity interest in Iroquois pipeline. We had a small impairment for our equity interest in the Northeast Energy Direct gas pipeline and a penny a share of renewables mark-to-market. Those were offset by $0.10 a share loss in gas storage for that period, again with some surrounding that results in a net positive adjustment of $0.03 a share to go from GAAP to our adjusted number. The increase in earnings in 2017 compared to 2016 was driven primarily by the improved wind production with the completion of the Amazon Wind Farm East, the three year rate plans in New York and Connecticut all while maintaining a continued focus on operational excellence and best practices. And as can be seen on Slide 19, all of our core segments on an adjusted basis had adjusted net income both for the quarter and year-to-date that increased over the comparable period in 2016. For the year-to-date basis networks up 9% and renewables up 26%, adjusted net income year-over-year. Turning now to Slide 20, results by business segment year-to-date '17 versus '16. Networks adjusted net income of $268 million year-to-date in 2017 makes up 73% of our consolidated and adjusted net income and as mentioned benefited primarily from the new rate plans and ongoing cost management. The new rate plans for UI began in January 1 of '17 and for New York the first half of '17 includes four months of the first rate year and two months of the rate year two, and recall that in rate year two in New York the sharing band actually increases by 15 basis points. So there is now a 65 basis point band above the allowed return before sharing begins. The results due reflect an accrual for estimated sharing from the first rate year in New York and that final sharing calculation subject to trueup will be filed later this month with the regulators. In addition, the interest expense related to the UIL $450 million bond has been transferred to Corporate also improving the network results. Turning to the renewable segment, year-to-date adjusted net income of $97 million is about 26% of our total consolidated adjusted net income. Renewables benefited from the higher production, improved REC pricing and energy management services which we utilized to optimize our assets around our thermal plants and hydro and transmission rates. The Corporate segment had $5 million of year-to-date adjusted net income. In this segment includes the interest expense now for the UIL bond, as well as the consolidated tax impacts that are partially offset at renewables resulting at a year-to-date consolidated effective tax rate of approximately 31% on a management reporting basis where we include the PTCs in gross margin. But we do expect that the effective tax rate will increase in the normal course in the second half of the year. And although non-core gas storage did benefit from mark-to-market impact of the expiration of certain contracts. So now on Slide 21, we've broken it out a little further. The Networks net income - adjusted net income of $268 million and the increase of $22 million really driven by higher FERC transmission results with a higher rate base of $8 million, a distribution results then primarily impacted by the rate cases of $10 million and the net of all the other positive $4 million. And on renewable, the $20 million increase in adjusted net income driven by wind production of about $9 million, small increase in net prices of about $2 million, the energy management services that I mentioned of $4 million and the net effect of tax and everything else about $5 million. So turning now to Slide 22, you can see graphically the installed capacity as Jim mentioned up 459 megawatts, 6% period-over-period. This is primarily driven by the Amazon Wind Farm and the portion of the El Cabo installed in the second quarter. Our load factor increased slightly to 32% and while PPA prices were down a little bit, REC prices increased by $2.40 a megawatt hour. So turning now to the cash flow on Slide 23. Our cash from operations continues to support planned growth during this heavy construction period as cash from operations was $925 million and cash CapEx was just over $1 billion basically on target for our expectations. So moving now to Slide 24. As we look at our balance sheet and the strong credit metrics continue with the net debt to total capitalization at 27% at the end of June and net debt to adjusted EBITDA of 2.8 times, again right in line with our expectations. And finally on Slide 25, as Jim mentioned earlier, we are affirming our consolidated adjusted earnings per share outlook at $2.10 to $2.35 a share and we're also maintaining our segment guidance at $1.66 to $1.74 per share for networks, $0.50 to $0.65 per share for renewables and minus $0.08 to $0.05 for Corporate. Our outlook does assume a full year of new rates in New York and Connecticut, our ongoing integration and best practice efforts, full year impact of the renewable extension of useful lives, as well as the new Amazon Wind Farm, normal wind production and the new renewable projects that are expected to come online towards the end of the year. So I'll now hand it back to our operator Kevin for question-and-answer.
Operator: [Operator Instructions] Our first question comes from Chris Turnure with JPMorgan.
Chris Turnure: You had a couple million in net income and Corporate and other this quarter. Could you maybe just walk through that? I think Rich, you touched on it a little bit but just kind of bottoms up, what drove that number and what was in it? And then it seems like you're trending pretty well versus your annualized loss guidance for that segment. Is there kind of a part of that range we should think about you guys trending towards right now or maybe you're out of that range a little bit, any color would be appreciated.
Rich Nicholas: In the first half of the year, the consolidated tax adjustments some of which we talk about on the first quarter call, the net effect of that was a positive impact on the Corporate segment but if you go through the year, that will be diluted somewhat by taxes over the rest of the year. But then primarily what moves it into the negative category is our interest expenses as we continue to build out the renewable. We'll look to issue some long-term debt at Corporate later in the year as we talked about on our Investor Day in order to support funding for renewable. So there's some interest expense coming in later in the year that's not there now.
Chris Turnure: Okay. Could just remind me of what that consolidated tax adjustment was again in the first quarter?
Rich Nicholas: As we true-up throughout the period what we expect the effective tax rate to be for the year - every once a while there are some discreet adjustments that come through from audits and other areas, nothing major to be concerned about. Again we would expect to see the management what's now 31% to trend back towards 35% towards the end of the year.
Chris Turnure: Okay. And just I think I had also seen a negative interest expense or benefit for that segment for the quarter, is there AFUDC credit or something else in there that might impacting that number?
Rich Nicholas: No, that was really the transfer of the UIL debt that use to be at Networks change in obligor of Avangrid level and so there's interest expense sitting there. This year at Corporate that wasn't there last year.
Chris Turnure: But I think I had seen a benefit in the interest expense line overall for this quarter unless I was reading that wrong.
Rich Nicholas: No, that was not a benefit.
Chris Turnure: And then last question on the Gas Storage business. Could you just give us an update on kind of strategic plans for that, if any? Is it your intention to sell that or where are you in that process?
Jim Torgerson: Yes, we're still working on that Chris and evaluating it. Looking at opportunities there and we would fully expect to have some decisions by the end of the year on that one. So we're working through it right now. I guess it's the best way to put it. So by the end of the year we should have a final determination.
Operator: Our next question comes from Michael Gaugler with Janney Montgomery Scott.
Michael Gaugler: You mentioned 85 million in LNG enhancements during the slides not a small amount and I'm wondering with the recent setbacks in some of the pipeline projects in the Northeast if your thinking is changing on LNG and how much you might put to work in the future there?
Jim Torgerson: Yes, the LNG is really for two facilities we currently have in Connecticut, one in Milford and one at Rocky Hill. And they were put in place in the 70s and there really it's full refurbishment of those two facilities but also increasing the liquefaction at one of them as well. So, it's not to take a better anything on LNG, it's really for the LNG we need to operate the system on peak days. I don’t know Bob you want to.
Bob Kump: Absolutely right.
Michael Gaugler: The basis of my question is, all right since you can’t build it is very difficult to build pipelines in New England and you continue to have difficulty getting gas up into that region, I'm wondering if LNG becomes a bigger part of the picture over time if this trend continues with the pipelines.
Jim Torgerson: It probably will, but that's not the intent for what we’re building, but you're right, I mean we can’t get any pipelines built and Bob...
Bob Kump: I think that’s absolutely right and there are areas within our system where we're looking at the possibility for LNG as being a solution to our regional issue.
Operator: Our next question comes from Greg Goodwin with Evercore ISI.
Greg Gordon: I don't recall if you’ve given this and perhaps you have and perhaps you haven't but your guidance assumes normal wind production for the year, I would presume at the midpoint. Is there a sensitivity you can give us on what we should think about say about 1% above or below normal or below your base assumption would mean for earnings?
Jim Torgerson: Yes, I think well Rich is looking it up, so I'll talk about things for a second, because we gave it last year at the 2016 Investor Day and we got to pull that out but really our assumption is we’ll have normal win for the balance of the year and because obviously the first six months are done and if we’re looking to see if we have that number so it’s in the - within the presentation we did in February of…
Greg Gordon: But that is some - you’re giving me some clarification, so obviously six months of the year is in the box?
Jim Torgerson: Right.
Greg Gordon: We are where we are, you reiterated guidance based on where you are and guidance for the balance of the year at the midpoint would be based on normal wins for the remaining two quarter, correct?
Jim Torgerson: Correct.
Rich Nicholas : And what we probably said at Investor Day was net win production was plus or minus 3%, it would have about a 3% to 5% impact on net income.
Greg Gordon: Right, but I should cut that as half now because we are half way through the year?
Jim Torgerson: Right.
Operator: Our next question comes from Ashar Khan with [Visium].
Ashar Khan: What I wanted to get a better understanding is, what ROE are you running in your regulated businesses on LTM basis can you help us with that? Including today's results?
Rich Nicholas: We don't have - we haven't announced it for New York that will get filed for the 12 months ending December.
Bob Kump: We tend to look at our share on a rate basis versus a calendar year, that’s obviously how we’re measured relative to earning share and I think one of things that was mentioned is we did book an entry earlier this year for earnings, sharing associated with the New York companies for the first rate year that ended April 30 of this year.
Jim Torgerson: So in general I would say and that’s obviously that's the largest - those companies are the largest of the companies we have. So we've stated all along goal is to earn that and prove the authorized returns and I would say that we clearly did that in New York in the first rate.
Bob Kump: Hope we do next time for the other companies.
Bob Kump: Bob talked about the New York companies in Maine…
Rich Nicholas: Maine I'll say you know we had talked about last call looking at whether we felt we needed to file a rate case and we concluded that we would not do that at this point, we’ll revisit that later this year or early next year but the returns that we've been seeing on the distribution business in Maine has been sufficient such that we feel like we don't need to file a case there. Obviously we just filed and got approval at UI, so we expect to do well there going forward the gas companies. We reached a conclusion at the same time they’ll reach a conclusion at CMP that we didn’t need to file at CNG but obviously as Jim mentioned, we did file just recently for SCG for new rates three-year plan really the key components of that the increases we asked for not large, they're basically inflationary. The big things for us are the revenue the company mechanism which SCG currently does not have but CNG has, as well as we call Dim tracker it's basically a tracker that allows us to recover on a faster basis investments and the replacement of cash bona fides.
Jim Torgerson: And through the end of the first quarter for the 12 months following that United Illuminating earned like 6.38 and keep in mind we just had a rate increase. So it has a very little of it in there for the first quarter. So I think I can give gas a slightly over nine like 9.07 and Canadian natural gas a 7.71 through the end of the first quarter. So, and again CNG well SCG we filed a rate case just now so we’ll be in reasonable shape on all of those.
Operator: Our next question comes from Paul Patterson with Glenrock Associates.
Paul Patterson: Just to circle back on the second quarter Corporate. I apologize if I'm slow here, but what exactly is driving the $10 million or $0.03 a share in the second quarter compared to the $4 million or $0.01 a share in the second quarter for 2016?
Rich Nicholas: Yes, there is a number of pieces we’ve talked about some are income tax adjustments but also and following up on Chris Turnure's question earlier, there is some positive income that comes from intercompany transactions and interest expense there. So to Chris's question I answered no there was no benefit there was no benefit from the UIL debt, that was a negative to Corporate but within Corporate we do pull the cash and charge certain entities for their use of the cash. And also we did have - we issued a $300 million bond at RG&E in the quarter, we had some cash we actually had some interest income during the period as well. So there is some benefit from that and so its tax adjustments and intercompany interest income and every once in a while some external interest income.
Paul Patterson: Okay. And then you mentioned some benefits in the first quarter for taxes, some tax adjustments. Were there any substantial tax benefits in the second quarter?
Rich Nicholas: No.
Paul Patterson: Okay.
Rich Nicholas: Perhaps our effective tax rate go up a little bit.
Paul Patterson: Okay. And then with respect to the ROE just on the transmission business, as you know, you guys have filed to raise the rates to reflect the previous ROE, given Emera. And I think you guys are planning on doing it if there's no action by FERC 60 days after they get a quorum. Has anything changed in your guidance on your expectations or thoughts about the transmission ROE?
Rich Nicholas: No, not at this point, we are still using the old rates and that’s what we’re booking to.
Jim Torgerson: The 10.5 is up.
Paul Patterson: Okay. And then finally, the PPA prices versus the - what you're getting with your merchant or I'm sorry, the contract prices versus what you're getting for plans are merchant. And how should we think about the difference between those two? So when you contract them, what's the price impact for the output when you do that?
Rich Nicholas: Typically what we would we got a contract for a term. We're going to look for some price that’s above the - what I call the spot price or the current price. And to make sure they will be compensated for taking the risk I’ll call it risk of having a longer term commitment. So that's really how we look at, I don’t know Laura you want to add to that.
Laura Beane: Yes definitely, I would say when we are looking to contract output that currently under merchant and subject to merchant risk. There is a lot of factors depending on where the facility is located and if it's in location on a grid where there is constraint and you’re subject to negative pricing or price procurements and that will factor into your decision on how applications have completed that would be to the company to be above such fixed price contract and have some ability to know that you’ll be able to generate when their own conditions are private.
Paul Patterson: Okay. So when you guys do - when you guys are doing these PPAs, you're getting price stability and you're also getting a price benefit. Is that what we should think about versus what you're currently getting in the merchant - which you're currently experiencing or looking at in terms of the forward curve in that market?
Laura Beane: I think it would be fair to say in general but yes if we are going to contract for a fixed permit at fixed price we would seek to do better than we would be plan to do under the merchant condition again because of the volatility in some of those markets we were subject to a lot of risk if you’re merchant. And so that will definitely factor in to the overall decision of what term we’ll be willing to contract.
Paul Patterson: And what are the contract sort of length that we thinking about here when you say that you’re contracting them versus merchant what - how long were those contracts were?
Rich Nicholas: Typically Paul we’re look at more if we taking it for merchant to a contract it’s kind of going to be more intermediate term, so not necessary long-term but more intermediate. PPA if it’s a depending on the situation some new it’s going to be longer term. So it varies and also depends on the customer.
Paul Patterson: What does intermediate mean?
Rich Nicholas: Probably less than 10 years.
Operator: Our next question comes from Sophie Karp with Guggenheim Securities.
Sophie Karp: Could you a talk a little a bit about the environment in New York and what you seen with the new commissioning now been in place and do you still expect to get resolution of the strong case and the AMI program that you have kind of on track? Thank you.
Bob Kump: I think it’s still early to tell obviously they just came on board, we’re just starting our meetings with them now to bring up to speed on company things. So couple of expectations I have in terms of the storm that investigation is pretty much wrapped up so we’re kind of waiting for a staff recommendation around that. So we’ll see when that transpires but I would suspect in the next few months we’ll hear something on that. We've not seen any indication we fully expect that the commission will continue down its path with respect to the rev proceeding and all the various components of that. And that's why as Jim mentioned in his remarks, we continue to expect to move forward on things like earnings just a mechanism or kind of incentives for helping our customers to be more efficient and for doing a better job of adding distributed forms of energy on to our system. As well as the plans we have around AMI and a smart grid. So it is very early but we think that from a rev perspective that focus will continue.
Operator: [Operator Instructions] Our next question comes from Joe Zhou with Avon Capital Advisors.
Joe Zhou: Sophie asked the question on AMI, can you just give us an update on the New York Transco and what may or may not be happening there?
Jim Torgerson: We continue to focus on the Transco. There's a couple of proceedings in which they have projects out there and we also expect another solicitation probably later this year to address some further issues both associates essentially with our stores, as well as congestion in the Hudson Valley region. So continues to move forward and be active in looking at solutions to those issues.
Joe Zhou: Wasn't there one large project that's not in your CapEx that was?
Jim Torgerson: Yes, we’re still waiting on that since there has been no resolution to that proceeding yet, that was original like AC proceedings so.
Joe Zhou: So where do we stand this process was on that?
Jim Torgerson: I would say early next year something like that.
Joe Zhou: Okay. And again that’s not in your forecast?
Jim Torgerson: No.
Joe Zhou: That will be an upside.
Jim Torgerson: There is one other one the proceeding that's ongoing related to Western New York we may hear something on that in the next couple months. We have a project with [indiscernible] that's not through the Transco. That would be the next one we would expect to see a resolution of - probably within the next couple of months.
Joe Zhou: Okay. And then my other question - and I know we discussed this on the first quarter call, and I just want to make sure I understand so I think it got resolved later. But just on the income tax line again just could you explain that because with a big - like for the quarter income taxes were down like $128 million or something like that and for the year, but then you also say that in the third and fourth quarter that'll get trued up so that will be a higher number. Can you just explain that and then I think part of it has to do with how you booked the PTC?
Bob Kump: Couple of things going on, one is last year coming out of the rate cases in New York was a $126 million adjustment but it was offset up in revenue. So if you look at revenue line and you look at the tax line on a GAAP basis and take that 126 adjustments out, there really was a much of change and it didn’t hit the bottom line. And so that's the major difference between the two periods.
Operator: And I am not showing any further questions at this time. I like to turn the conference back over to our host.
Jim Torgerson: Okay, well thank everybody for participating today. As I said, we had a great quarter and first half and looking forward to continuing this for the rest of the year and we got a lot of upside going on and again so we want to thank you for your participation. And if you have further questions please don’t hesitate to contact our Investor Relations team. So, thank you all.
Operator: Ladies and gentlemen, that concludes today's presentation. You may now disconnect and have a wonderful day.